Operator: Good day and welcome to the Global Net Lease Fourth Quarter Full Year 2021 Earnings Call. [Operator Instructions] Please note this conference is being recorded. I would now like to turn the conference over to Louisa Quarto, Executive Vice President. Please go ahead.
Louisa Quarto: Thank you, operator. Good afternoon, everyone and thank you for joining us for GNL's fourth quarter and year end 2021 earnings call. This call is being webcast in the Investor Relations section of GNL's website at www.globalnetlease.com. Joining me today on the call to discuss the quarter's results are Jim Nelson, GNL's Chief Executive Officer and Chris Masterson, GNL's Chief Financial Officer. The following information contains forward-looking statements, which are subject to risks and uncertainties. Should one or more of these risks or uncertainties materialize, actual results may differ materially from those expressed or implied by the forward-looking statements. We refer all of you to our SEC filings, including Form 10-K for the year ended December 31, 2020 filed on February 26, 2021 and all other filings with the SEC after that date for a more detailed discussion of the risk factors that could cause these differences. Any forward-looking statements provided during this conference call are only made as of the date of this call. As stated in our SEC filings, GNL disclaims any intent or obligation to update or revise these forward-looking statements, except as required by law. Also, during today's call, we will discuss non-GAAP financial measures, which we believe can be useful in evaluating the company's financial performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our earnings release and supplement, which are posted to our website at www.globalnetlease.com. Please also refer to our earnings release for more detailed information about what we consider to be implied investment-grade tenant, a term we will use throughout today's call. I'll now turn the call over to our CEO, Jim Nelson. Jim?
Jim Nelson: Thank you, Louisa, and thanks to everyone for joining us on today's call. Last year was one of the strongest we've had since I became CEO in 2017 with accretive marquee transactions that added to our industry diversity across the U.S. and Europe, strong leasing activity and a growing focus on net lease Industrial and Distribution properties. This morning, I will briefly discuss these initiatives and Chris will provide details on our fourth quarter and full year 2021 highlights before taking your questions. At year end our best-in-class $4.7 billion portfolio consists of 309 properties in the United States, Canada, the UK and Europe diversified across 138 tenants and 51 separate industries. Our property mix at the end of the year was 54% Industrial and Distribution and 42% office with 4% comprising legacy long-term leased retail. Portfolio occupancy at the year-end was 99% with a weighted-average remaining lease term of 8.3 years. 63% of our annualized straight-line rent was derived from investment grade or implied investment grade tenants. Our portfolio's occupancy rate weighted average remaining lease term and credit quality compares favorably to our investment grade rated peers. With limited near-term expirations embedded contractual rent increases in 94% of leases and strong external growth rates we believe we are well positioned to create shareholder value. We were quite active pursuing external growth opportunities during 2021. We closed on almost $500 million of industrial and mission critical office acquisitions. Among the properties we acquired during the past year were the McLaren headquarters, an R&D facility in England, Trafalgar Court leased to Northern Trust, which is a Class A premier office property in the Channel Islands and Walmart's cutting-edge training facility in the U.S., as well as properties leased to Schlumberger. The weighted average cap rate for acquisitions closed in 2021 was 8.9% with a weighted average remaining lease term of 17.2 years at closing. The fourth quarter was particularly active as we closed almost 171 million of transactions over 116 million of these acquisitions closed in December and as a result did not meaningfully contribute to our fourth quarter or full year results. In fact, fourth quarter acquisitions only contributed $300,000 of NOI in the fourth quarter compared to $1.9 million in expected NOI for a full quarter of ownership. We expect to see the accretive impact of these acquisitions in our first quarter 2022 results. One of the largest acquisitions in the fourth quarter was the previously mentioned Walmart Learning Center that we acquired for $40.6 million. This 90,000 square foot property is the primary digital and onsite training and development facility for Walmart associates worldwide. The new construction training center we acquired is part of the company's new headquarters campus and has a remaining lease term of seven years. The lease includes 1.5% annual rent escalations and adds a world-class tenant with excellent AA credit to our portfolio. The Walmart acquisition as with the McLaren and Trafalgar Court transactions in prior quarters came to us in part as a result of our global relationship network and our growing reputation as a dependable, well-funded buyer that is capable of completing sale-leaseback transactions with world-class tenants. The cross-border capabilities of GNL to complete transactions across multiple continents and countries in different currencies and on time, is a differentiating factor that we continue to leverage to our advantage. We also continue to evaluate the portfolio to maximize value. To that point, last year, we disposed off 21 properties for $49.6 million that we believe had reached maximum value for us. Specifically, we sold a group of retail properties in Puerto Rico for $28 million as part of our ongoing efforts over the last two years to actively and thoughtfully reduce our exposure to non-core assets, such as retail properties. In addition to growing through acquisitions that are focused on industrial and distribution properties, we also had an active year on the leasing front. In 2021 we executed 11 lease extensions and expansions the total 1.5 million square feet or 3.9% of our total portfolio. The lease extensions increased the weighted average remaining lease term for these tenants to 8.9 years from 3.9 years at the time of signing and resulted in total, net straight line rent increases for these tenants of approximately $96 million over the new weighted average remaining lease term. Tenants who sign strategic lease extensions include both U.S. and Europe based tenants such as FedEx and the Aztec Group. As of year-end, our lease expiration schedule includes only 3% of our portfolio by square feet, that will be up for renewal in 2022 and 5% in 2023. 72% of our leases by square feet don't expire until 2026 or beyond. We believe our proactive approach to leasing renewals and the mission-critical nature of many of our assets combined with our strong relationships with tenants will result in very stable NOI growth for GNL for many years to come. Our team's hard work and dedication to building and operating a world-class portfolio has yielded measurable results as evidenced by the many important measures by which GNL has met or exceeded pre-pandemic performance levels. Adjusted EBITDA increased 34% to $80.5 million in the fourth quarter 2021 compared to $60.1 million in the first quarter of 2020. Cash NOI grew 33% to $93.8 million during the same period. AFFO per share was consistent at $0.44, when compared to the first quarter 2020, while our portfolio grew by over five million square feet. We believe that these positive results have yet to be fully valued by the investment community and that there is significant upside that has been created, but not fully appreciated in our valuation. For the full year ended December 31, we also produce meaningful year-over-year growth. I'll let Chris get into the details, but we grew revenue and NOI both by over 18% in the last year. Core FFO grew by 26% and AFO increased by 8% to $173.5 million or $1.77 per share. For the fourth quarter AFFO per share was $0.44, consistent with the last quarter. Fourth quarter net income FFO and AFFO were negatively impacted by an elevated income tax expense, which included one-time true-ups related to the prior year 2020 tax returns filed in 2021 and does not represent our expected quarterly income run rate going forward. We remain committed to executing on our global investment strategy by leveraging our unique capacity to acquire assets throughout North America and Europe. Last year was a testament to the effectiveness of our strategy. We believe that we closed out 2021 with strong operational momentum, which will propel G&L to another strong year in 2022. We remain well positioned to take advantage of evolving real estate markets and benefit from the added diversification that comes with holding a balanced portfolio of global assets located in numerous economic regions and our focus on industrial and distribution assets. We believe our demonstrated ability to underwrite transactions with an eye toward long-term value and our reputation as a preferred sale lease back partner, is what continues to set GNL apart in the net lease sector. We will continue to execute on our strategy in 2022 and beyond, as we grow GNL's global and diversified portfolio. I'll turn the call over to Chris to walk through the operating results in more detail. And before I follow-up with some closing remarks. Chris?
Chris Masterson: For 2021 revenue increased 18.5% to $391.2 million from $330.1 million in the prior year, with a net loss attributable to common stockholders of $8.7 million. We recorded a 19.4% increase in adjusted EBITDA, FFO of $170.4 million or $1.73 per share, and AFO of $173.5 million or $1.77 per share. The company paid common stock dividends of $156.2 million or $1.60 per share in 2021. As always, a reconciliation of GAAP net income to the non-GAAP measures can be found in our earnings release and supplement. In the fourth quarter, revenue grew 22.4% to $106.5 million on a year-over-year basis. FFO was $43.5 million or $0.42 per share, and AFFO was $46 million or $0.44 per share. During the quarter, the company paid common stock dividends of $41.6 million. As Jim mentioned, fourth quarter net income FFO and AFFO had an increased income tax expense compared to the prior quarters this year, as it included the impact of one-time true ups related to the tax filing for the prior year. In particular, there was $1.9 million true up for the UK 2020 tax return, which had an approximately $0.02 per share negative impact that reduced the AFFO per share from $0.46 to $0.44. Our balance sheet ended the fourth quarter with net debt of $2.4 billion at a weighted average interest rate of 3.4%. Our net debt to adjusted EBITDA rate was 7.3 times at the end of the year. The weighted average maturity at the end of the fourth quarter 2021 was 4.2 years. The components of our debt include $225.6 million on the multicurrency revolving credit facility, $280.3 million on the term loan, $1.4 billion of outstanding gross mortgage debt and $500 million on our senior notes. This debt was approximately 89% fixed rate, which is inclusive of floating rate debt within place interest rate swaps. The company has a well cushioned interest coverage ratio of 3.8 times. As of December 31, 2021 liquidity was approximately $139.5 million, which comprises $89.7 million of cash on hand and $49.8 million of availability under the credit facility. Our net debt enterprise value was 55.6% with an enterprise value of $4.3 billion based on the December 31, 2021 closing share price of $15.28 per common shares, $26.72 for Series A preferred shares and $26.80 for Series B preferred shares. With that, I'll turn the call back, Jim for some closing remarks.
Jim Nelson: Thank you, Chris. I'm very pleased with the meaningful growth GNL achieved last year, through $0.5 billion of primarily mission critical industrial distribution and office acquisitions including tenants like Walmart, Schlumberger, Northern Trust and McLaren we have expanded our portfolio and our profile. The leasing we executed last year added significant straight-line rent and weighted average lease duration at the subject properties contributing too many performance metrics meeting and exceeding pre-pandemic levels. We are well positioned to continue to execute on accretive and exclusive transactions that will further enhance our portfolio and I look forward to carrying that momentum into 2022. With that operator, we can open the line for questions.
Q - Unidentified Analyst: Hey everyone. This is Hardy Cameron [ph] on for Craig. So you guys did a great job executing on the external growth strategy this year, but looking at 2022, what does the pipeline look like beyond the $15 million deal under LOI? And what are you guys targeting for volumes this year?
Jim Nelson: Well, we don't give guidance as to our target for volumes, but what I would suggest to do is take a look back on the last three years, and that should give you an indication of how we've been growing. Our pipeline is very robust. We've got a lot of deals we're working on and none of them that have been published yet that I can – that I can speak about publicly, but the pipeline and we're seeing new deals every day. So, we're very confident that we're going to have a good year of acquisition with some great properties.
Unidentified Analyst: Got it. And so as a follow up to that, I mean, if volumes should be sort of consistent, how should we think about financing that given your current liquidity position and your cost of equity via c issuance, just where the stock is at today?
Jim Nelson: Well, currently we do have cash and availability on our credit facility. So, we're in good shape right now. I think as we look forward, we have various options as to how to finance acquisition. So I think we'll have to cross that bridge when we get there, but we're in good shape right now.
Unidentified Analyst: Okay. Thanks.
Jim Nelson: Thank you.
Operator: And our next question comes from the line of Bryan Maher with B. Riley Securities. Please proceed with your question.
Bryan Maher: Good afternoon, Jim and Chris. Maybe following up on [indiscernible] question, on the acquisition front are you seeing any change given the change in interest rates as it relates to the motivations of sellers and their willingness to maybe sell to you at a better cap rate?
Jim Nelson: Bryan, I think historically what we've seen is that cap rates change three to six months after interest rates change. So, we haven't really seen much as of yet, but I certainly expect if history is any, any indication of the future that that the cap rates will change as interest rates change just with a little bit of a lag.
Bryan Maher: Right? And then I think that there was and correct me if I'm wrong, or if you already addressed it a $6.5 million lease termination fee recorded in the fourth quarter. Can you give us a little color on that and tell us about that space and has that space subsequently been occupied?
Jim Nelson: Chris, you want to take that?
Chris Masterson: Sure. I can jump in on this one. So, this is actually a tenant that terminated the lease. Obviously, they paid us the termination fee. They will be vacating or they have vacated the property at this point and we currently are in the process of selling it and that sale should likely close in probably the second quarter, sorry, the first quarter.
Bryan Maher: Okay, thanks for that. And then last for me. As it relates to the characteristics of the 19 properties you acquired in the fourth quarter, aside from the Walmart Learning Center, which you've discussed in the past. Can you give us a little bit more color? I do see on Page 11 of the slide deck where you laid out who the tenants are, but can you give us a little color on them? I don't think that they're really household names for most.
Jim Nelson: Pilot Point Steel is a specialty steel manufacturer. It's a company that we know well. The set for 4 Pack on industrial properties, same thing with the PFB is an 8 Pack, it's a nice group of industrial properties. Let's see...
Chris Masterson: And Jim, I…
Jim Nelson: Go ahead, Chris.
Chris Masterson: Sorry, I can actually jump in. So, I mean, I promise they do – they manufacture like video monitoring systems, Bradford, they do RV parts specifically more sanitation type of parts for RVs. PFD, they do different parts that go into buildings. Schlumberger oil field technology, obviously we've touched on McLaren, Trafalgar, Walmart and – sorry.
Bryan Maher: In the more recent 4Q acquisitions, is there any kind of common theme other than industrial, like geographically, are they Midwest, where in the U.S. or broad they are generally located?
Jim Nelson: Sure. So these actually are pretty spread out within the U.S. I'm looking at the list and it's – it is very, very spread out. One thing I would note is PFP, there are some properties in Canada set further there, there's some in the Netherlands but the rest of the properties, the U.S. based ones are spread out.
Bryan Maher: Great. And just last, it seems like you've done a fair amount of both acquisitions and now some dispositions. Should we expect a theme in 2022 and 2023 to see more dispositions aside from the one you just talked about in the least termination to kind of offset some of the cost of the new assets, so really kind of thematic capital recycling?
Jim Nelson: There may be some of that. I don't have a number to give you today, but we continually review the portfolio and if there's a meaningful reason to sell – to sell the properties like reducing our retail exposure, which we've been doing for several years now, that's certainly would apply.
Bryan Maher: Thank you very much.
Jim Nelson: Thanks, Brian.
Operator: [Operator Instructions] Our next question comes from the line of James Villard with Ladenburg Thalmann. Please proceed with your questions.
James Villard: Good afternoon, guys.
Jim Nelson: Hey, good afternoon, James.
Chris Masterson: Good afternoon.
James Villard: Yes. Can you give us some more color? Just, I guess rough way of thinking about it on what the mark-to-market is on your expiring leases in 2022 and 2023?
Jim Nelson: Chris, can you pull that up?
Chris Masterson: Sure. Well, I mean, we in 2022 we only have 3% of the leases that are set to expire in 2023, 5%, we haven't published the information about the active lease extensions that we're working on, which is a pretty meaningful number. But what I can say there is that the extension that we're working on are pretty close to where the current lease fit. So, we're not really seeing much of a change in that regard from where we've been or at least nothing material.
James Villard: Okay. That's helpful. I guess one more question. Are you seeing any cap rate compression in the, I guess the more energy exposed industrial space kind of thematic as we look at oil where it's at – where it's moving today, kind of want to hear your thoughts on that space?
Chris Masterson: We haven't seen a lot of industrial property in the oil space recently, so I don't really have an answer to on that. Obviously, we've seen – you've seen compression everywhere, so I wouldn't doubt that there's some compression there, but also because of the historical cap rates on oil properties, oil related properties, I don't think it's going to be that as bad as it possibly could be considering oil. I mean, obviously taking Ukraine out of the equation, just considering oils up and down over the past 20 or 30 years.
James Villard: Yes. That's helpful. That's it for me guys? Thank you.
Chris Masterson: All right. Thanks.
Operator: And we have reached the end of the question-and-answer session. I'll now turn the call back over to CEO and President, Jim Nelson for closing remarks.
Jim Nelson: Thank you, operator. I want to thank everybody for joining us on today's call and we look forward to talking to you in the next quarter and thank you everybody. Bye-bye.
Operator: And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.